Operator: Good morning. My name is Brita and I will be your conference coordinator. At this time, I would like to welcome everyone to the Aaron's Company Third Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. I will now turn the call over to Mr. Michael Dickerson, Vice President of Corporate Communications and Investor Relations for Aaron's. You may begin your conference.
Michael Dickerson: Thank you, and good morning, everyone. Welcome to the Aaron's Company third quarter 2021 earnings conference call. Joining me this morning are Douglas Lindsay, Aaron's Chief Executive Officer; Steve Olsen, Aaron's President; and Kelly Wall, Aaron's Chief Financial Officer. After our prepared remarks, we will open the call for questions. Many of you have already seen a copy of our earnings release issued this morning. For those of you that have not, it is available on the Investor Relations section of our website at investor.aarons.com. During this call, certain statements we make will be forward-looking, including our financial performance outlook for 2021. I want to call your attention to our Safe Harbor provision for forward-looking statements that could be found at the end of our earnings release. The Safe Harbor provision identifies risks that may cause actual results to differ materially from the content of our forward-looking statements. Also, please see our Form 10-K for the year ended December 31, 2020, and other subsequent periodic filings with the SEC for a description of the risks related to our business that may cause actual results to differ materially from our forward-looking statements. On today's call, we will be referring to certain non-GAAP financial measures including EBITDA and adjusted EBITDA. Non-GAAP net earnings and non-GAAP EPS, which have been adjusted for certain items which may affect the comparability of our performance with other companies. These non-GAAP measures are detailed in the reconciliation tables included in our earnings release. With that, I will now turn the call over to our CEO, Douglas Lindsay.
Douglas Lindsay: Thanks Mike. And thank you for joining us today to discuss our third quarter results. I'm pleased to report another quarter of strong operating performance and continued positive momentum at the Aaron's company. In the nearly one year since our separation, we have significantly strengthened our leadership position in the direct-to-consumer lease-to-own market and are tracking well ahead of our long-term strategic plan. Continued investments in our best-in-class e-commerce channel, predictive lead positioning engine, and our high performing GenNext stores, are driving greater productivity and growth in our business. Through the tremendous efforts of our team, we continue to transform Aaron’s go to market strategy by delivering customer-friendly digital solutions, easy lease approvals, and enhanced shopping experience. Since 1955, Aaron’s has been committed to serving a customer base that is too often been overlooked or excluded from preferred retail experiences. Today, we are leveraging our long and deep understanding of this customer segment to say yes, whenever they say no. To provide our customers with access to great products and flexible and affordable terms, and to deliver a seamless customer experience, not only across our distributed store network but also digitally through our award-winning e-commerce platform. Whether our customers interact with us in one of our beautiful new GenNext stores or via their mobile device, we continue to provide a growing assortment of products they want and need with low monthly payments that fit their budget and best-in-class customer service. I am pleased to announce that our third quarter 2021 results have again exceeded our expectations through its continued growth and the size of our lease portfolio, same-store revenues and e-commerce revenues. As a result, we returned another $37.5 million to shareholders in the quarter in the form of share repurchases. This brings us to a total of nearly $100 million of capital return to shareholders thus far this year. With strong third quarter results, we are again raising our revenue and earnings outlook for the full year 2021. In the third quarter, same-store revenues grew 4.6% compared to the prior year, the sixth consecutive quarter of positive same-store revenue growth. The improvement was primarily driven by an 8.7% larger lease portfolio size entering the third quarter, partially offset by a lower level of customer payment activity compared to the prior year. Our same-store lease portfolio size continues to grow at a healthy pace ending the third quarter up 6.1%, compared to the prior year. We attribute this growth primarily to strong demand for our products, higher average ticket, the favorable impact of centralized lease decisioning and the residual impact of government stimulus on the portfolio. As discussed previously, our predictive lease decisioning engine is working very well and enables us to better match with customers lease payment with their financial position with the goal of helping more customers achieve ownership and lowering our overall cost to serve. In addition, our lease decisioning algorithms allow us to be flexible in responding to changes in the macroeconomic environment and to optimize outcomes that drive profitability. As of the end of the third quarter, more than 83% of our total lease portfolio is comprised of lease agreements that are originated through our centralized decisioning platforms. This compares to approximately 60% at the beginning of 2021. As I mentioned in the last quarter, lease payment activity in 2021 has exceeded historical levels due to the government stimulus provided to our customer leading to higher lease renewal rates, and lower write-offs. As we saw in the third quarter and expect to see over the next three to four quarters, customer payment activity continues to normalize. Because of investments we’ve made in centralized decisioning and lead servicing technologies, we expect 2022 lease renewal rates to ultimately settle above pre-pandemic levels or below the level we expect for the full year 2021. We also expect lease merchandize write-offs in 2022 to settle below pre-pandemic levels but above the level we expect for full year 2021. In addition to investments in our decisioning technology, we also continue to invest in our e-commerce channel and our GenNext strategy. Our e-commerce channel continues to grow at double-digit rates representing 14.3% of total lease revenues in the quarter. The growth in our portfolio of leases generated online is driving improvements to our overall margin performance as we leverage the fixed cost structure of our store and supply chain assets to serve customers that are seeking a virtual shopping experience, low monthly payments, and free delivery. Ongoing investments in digital marketing and our customers’ online experience are driving growth in this important channel. Specifically, ecommerce investments are leading to an enhanced shopping experience, driven by personalization and richer product content. Improved customer visibility and the products that are available for same or next day deliver, and a broader assortment that includes new product categories. Today, we have more than 3,000 products in Aarons.com, which has doubled from a year ago. And our express delivery program accounts for approximately 30% of e-commerce volume. Because of this, we are generating a higher customer conversion rate, lowering our effective acquisition cost and delivering higher customer satisfaction. I could not be happier with the efforts of our team and the growing marketplace we are creating on Aarons.com. As we discussed last quarter, our GenNext stores continue to perform at a high level. During the third quarter, we increased the size of our GenNext store set by 2022 to end the quarter with 86 locations and we believe we remain on track to have more than 100 GenNext stores by the end of the year. To-date, our portfolio of GenNext stores is generating results that are exceeding our targeted 25% internal rate of return in five year payback period. Equally as encouraging, monthly lease originations in GenNext stores open for less than one year again grew at a rate of more than 20 percentage points higher than our average legacy stores. As we accelerate the rollout of new GenNext stores, we continue to maintain a disciplined approach around our execution of this strategy. Before I turn the call over to Kelly, let me reiterate how pleased I am with the company’s strong performance in the third quarter. Our merchandizing and supply chain team have performed exceptionally well by getting ahead of market disruptions, by procuring inventory and expanding output from our Woodhaven manufacturing facilities. As a result, we are entering the holiday season with strong inventory levels in both our stores and distribution centers and we have been increasing prices to respond to inflationary pressures and maintain product margins. I remain encouraged by the underlying performance of both our store and ecommerce channels as we are tracking well ahead of our five year plan on revenue and earnings. I’ll now turn the call over to Kelly to discuss our financial results.
Kelly Wall: Thank you, Douglas. For the third quarter of 2021, total revenues were $452.2 million, compared with $441 million for the third quarter of 2020, an increase of 2.5%. The increase in revenues was primarily due to the increased size of our lease portfolio, partially offset by the expected lower customer payment activity during the quarter and the reduction of 79 franchise stores during the 15 month period ended September 30, 2021. Lease revenues in the third quarter of this year also benefited from an increase in ticket size or monthly rent for agreement that is offsetting the inflation we are experiencing in the cost of lease merchandize. On a same-store basis, lease and retail revenues increased 4.6% in the third quarter compared to the prior year quarter. As Douglas mentioned, this is our sixth consecutive positive quarter of same-store revenue growth. Leases originated in both our ecommerce and in-store channels contributed to our revenue growth, which was primarily driven by a larger same-store lease portfolio size, partially offset by the expected lower customer payment activity in the quarter. More specifically, in the third quarter of this year, our customer lease renewal rate was 89.7%, which was approximately 230 basis points higher than the three year third quarter pre-pandemic average, but was approximately 130 basis points lower than the third quarter of last year. For any period, the customer lease renewal rate is calculated by dividing the amount of customer payments recorded on an accrual basis as of the end of such period by the amount of total customer lease payment due for renewal during that period. As discussed on our last earnings call, the benefit to our customer from government stimulus programs declined in the third quarter and as expected, resulted in lower customer payment activity as compared to the prior year. We expect customer payment activity to continue to decline year-over-year for the next three or four quarters. And I will point out that a 100 basis point change, up or down, in customer lease renewal rates or write-offs on a $1.6 billion annual portfolio of total collectible customer lease payments results in a $16 million change in EBITDA. Additionally, we continue to expect that customer payment activity will benefit from our investments in centralized decisioning. We estimate that this technology has improved lease renewal rates by over 100 basis points compared to the pre-pandemic levels while also materially improving the customer experience and simplifying the day-to-day activities in our stores. Ecommerce revenues increased 13.3% versus the third quarter of 2020 and represented 14.3% of overall lease revenues compared to 13.1% in the third quarter of the prior year. We continue to make investments in this important channel that we believe will continue to drive long-term growth for the company. The company ended the third quarter of 2021 with a lease portfolio size for all company operated stores of $132.2 million, an increase of 5.8% compared to a lease portfolio size of $125 million on September 30th of last year. As a reminder, lease portfolio size represents the next month's total collectable lease payments from our aggregate outstanding customer lease agreements. Management believes this is one of the metrics that is important in understanding the drivers of future lease revenue. Total operating expenses, excluding restructuring expenses and spin-related costs were up $15.7 million in the quarter, as compared to the third quarter of last year. This increase is due primarily to higher personnel cost and higher provision for lease merchandize write-offs. Personnel cost increased $5.1 million in the third quarter of 2021, as compared to the prior year, primarily due to higher wages in our stores, additional personnel to support our key strategic initiatives, and higher standalone public company cost. Additionally, personnel costs were lower than anticipated during the third quarter of this year as staffing levels in our stores remain below our operational targets due to the current challenges in the U.S. labor market for retail-based hourly employees. Other operating expenses were relatively flat to the prior year period due to higher occupancy, shipping and handling cost, professional services, and bank and credit card related fees. These increases were partially offset by lower advertising cost in the third quarter of 2021 versus the prior year period. The provision for lease merchandize write-offs as a percentage of lease revenues and fees was 4.9% for the three months ended September 30, 2021, compared to an all-time low of 2.4% in the comparable period in 2020. The increase in write-offs in the third quarter of this year compared to last year was primarily due to lower customer payment activities following several quarters where our customers received financial assistance in the form of government stimulus payments and supplemental federal unemployment benefits. This mobilization in write-offs was partially offset by the continued favorable impact of our technology investments, which include decisioning algorithms and customer payment platforms, as well as our team’s strong operational execution. As we discussed on prior earnings calls, we continue to expect that annual write-offs will be between 4% to 5% of lease revenue and fees. Adjusted EBITDA for the company was $53.6 million for the third quarter of 2021, compared with $64.3 million for the same period in 2020, a decrease of $10.7 million or 16.6%. As a percentage of revenues, adjusted EBITDA margin was 11.9% in the third quarter of 2021, compared to 14.6% for the same period in 2020. This expected decline in adjusted EBITDA and adjusted EBITDA margin was due to lower customer payment activity, higher lease merchandize write-offs, and higher personnel cost compared to the prior year levels. On a non-GAAP basis, diluted earnings per share were $0.83 in the third quarter of 2021, compared with non-GAAP diluted earnings per share of $1.10 for the same quarter in 2020. Cash generated from operating activities was $30.2 million for the third quarter of 2021, a decline of $92.6 million, compared to the third quarter of 2020. This decline was primarily due to incremental purchases of leased merchandise to meet increased customer demand, and to mitigate the impact of anticipated supply chain challenges ahead of the upcoming holiday season. In addition, the cost of our leased merchandize was adversely impacted by inflationary pressure. During the third quarter, the company repurchased approximately 1,333,000 shares of Aaron's common stock for a total purchase price of approximately $37.5 million and through a 10b5-1 plan continued to repurchase shares into the first month of the current quarter. For the year-to-date period ended October 22, 2021, the company has repurchased 3,034,000 shares for approximately $90.4 million. As of October 22, we had approximately $60 million remaining under the company's $150 million share repurchase program that was approved by our Board in March of this year, and ends December 31, 2023. Additionally, the company's Board of Directors declared a regular quarterly cash dividend in August of $0.10 per share, which was paid on October 5. As of September 30, 2021, the company had a cash balance of $50 million, no outstanding debt and total available liquidity of $248 million, which includes $233 million available under our unsecured revolving credit facility. As Douglas highlighted in his remarks, we have again raised our full year revenue and EBITDA outlook for 2021. For the full year, we have increased our outlook for total revenues to between $1.820 billion and $1.830 billion. We also increased our outlook for adjusted EBITDA to between $225 million and $230 million. For the full year 2021, we have maintained our outlook for an effective tax rate of 26%. We expect depreciation and amortization of approximately $70 million and we expect the diluted weighted average share count for full year 2021 to be 34 million shares. We have not assumed any additional shares repurchased beyond what has been discussed earlier on the call. We have also increased our full year same-store revenues outlook from a range of 6% to 8% to a range of 7.5% to 8.5%. This increase is primarily a result of the continued year-over-year growth in our lease portfolio size. We have maintained our expected capital expenditure range of $00 million to $100 million. We have reduced our free cash flow outlook for 2021 to $30 million to $40 million, primarily to reflect the significant investment in lease merchandize inventory the company has made to mitigate the impact of global supply chain challenges and the related inflationary pressures. Based on our current inventory levels, we do not anticipate any material challenges in viewing our customers’ product demand as we end 2021 and head into 2022. As I have previously described, benefits to our customer from government stimulus programs have moderated in the third quarter. Our revised outlook continues to assume customer lease payment activities remains higher in the fourth quarter of 2021 when compared to pre-COVID-19 pandemic levels, but lower in the fourth quarter of 2020. At the same time, we believe that favorable impact of centralized lease decisioning, our digital servicing platforms and other operational enhancements are contributing to a sustainable improvement in customer payment and write-off activity. Additionally, we expect write-offs will continue to be lower in the fourth quarter of 2021 when compared to pre-COVID-19 pandemic levels, but higher than the fourth quarter of 2020. Finally, our updated outlook assumes no significant deterioration in the current retail environment, state of the U.S. economy or global supply chain as compared to their current conditions. With that, I will now turn the call over to the operator who will assist with your questions.
Operator: [Operator Instructions] We have the first question on the phone lines from Kyle Joseph of Jefferies. Mr. Kyle, please go ahead.
Kyle Joseph : Hey, good morning guys. Thanks a lot and congratulations on a good quarter. Just one of you talk about your outlook for payment levels I think inside just a bit. I think you gave the write-off levels for the quarter and then you talked about kind of the long-term outlook and just remind us about where that long-term outlook is versus kind of the historical range kind of before centralized underwriting?
Kelly Wall: Yes. Kyle, it’s Kelly. It’s a great question and when we talked about write-offs up in the quarter as we expected customer payment activity in the quarter, soft and not as strong as what we saw in the back half of last year and the first half of this year. Again, we covered a lot of – on our earlier call. As it relates to what we expect going forward, we did include some language in the earnings release. We’ve also covered this in prior discussions and then on the call last quarter. As we move forward and the customers no longer benefiting from the customer stimulus we’ve enjoyed in the last four quarters, they’d be less liquid and as we talked about in the past their customers less liquid our customer payment activity is lower. So we do expect over the next three to four quarters that the customer paying activity will be lower than what we’ve seen in the last four quarters, but higher than what we experienced pre-pandemic and the real driver there is centralized decisioning and the other operational changes that we’ve made. The centralized decisioning, we estimate has added 100 basis points better to our customer payment activity. And as a reminder, and this was in my prepared remarks, 100 basis point improvement is worth about $16 million on an $1.6 billion annual lease portfolio size. So, as we move forward, coming out of this, we’d expect to see just that, by customer payment activity lower and that reflected in lower lease renewal rates as well as higher payoffs. But we are encouraged again by the impact of centralized repositioning and the other operational changes we’ve made which is having a longer term positive benefit on the business.
Douglas Lindsay: The catalyst driver, first time, I am seeing to that and just, the metric that we’ve provided in this quarter of renewal rates 89.7%. As we view that historically, those rates have been pre-pandemic in kind of the 87%, 88% range and so we renewed about that many of our customers. The remaining balance up to 100% of what we could collect would be product that we return and charge-offs, then us working with the customer adults lives so get to them the ownership and that’s kind of what we do every month when we get a work. When the pandemic hit and the stimulus began to roll out after the pandemic we saw those renewal rates increase roughly 200 basis points to 300 basis points in the second half of 2020. That elevated even further in the first half of 2021 and that what we are seeing in the third quarter what Kelly just described is they are normalizing of our renewal rates albeit to a higher level we believe ultimately because of centralized decisioning once we return to normalized levels over the next three to four months. So, I just want to give you the timeline. That’s kind of how that played out and what we are seeing as we move forward to support Kelly’s comments.
Kyle Joseph : Got it. Appreciate the color. And then, a follow-up on that, how do you see demand for the new leases trending as we kind of – with stimulus in the rearview obviously in an inflationary environment on consumer goods and broadly a normalizing credit environment out there, as well.
Douglas Lindsay: Sure, I mean, in the core, we have seen strong demand both in our stores and our ecommerce channel. Our ecom channel in particular because of our inventory position that’s returned to normal. We comped up in the ecom with 13% and that was comping over prior year almost 44%. So we are really happy with that on the revenue side of things. In terms of demand, obviously, there has been strong demand over the last few quarters are people are investing in their homes. We continue to see steady demand going into the fourth quarter and while we don’t have a crystal ball we are optimistic about our inventory position and where we stand entering the fourth quarter. But in terms of forecasting, wait and see on the fourth quarter.
Kyle Joseph : Got it. And one last one from me. It sounds like the GenNext stores are doing very well. Has the performance there kind of shifted the outlook for the overall store count you guys provided when – at the initial times?
Douglas Lindsay: No, the changes in the stores are doing really well and as I said, we are exceeding our pro forma as we compare to control groups our sales of what we deliver into our portfolio are up 20 points above our control group with a larger population stores, now 86 stores in GenNext. So that’s really, really encouraging. We’ve got a full pipeline. We are going to do 100 – roughly 100 stores this year. I would expect we do roughly the same next year. I think what’s changed is maybe our outlook on store closures – the pace of store closures of what we’ve merged into other stores has slowed a bit as we continue to watch the normalizing environment out there. I suspect as the environment, the renewals environment continues to normalize we will go back to our same pace of store closures. Ultimately, we think we can serve our 700 markets with fewer stores, bigger ecom and a more efficient cost structure. And so that’s still our long-term objective. But we are encouraged about the demand trends and the overall progress against our strategic plan.
Kyle Joseph : Got it. Thanks very much for answering my questions and congrats on this quarter.
Kelly Wall : Thanks, Kyle.
Douglas Lindsay: Thank you.
Operator: Thank you. The next question comes from Vincent Caintic from Stephens. Vincent, please go ahead. Awaiting your line.
Vincent Caintic : Thank you. Good morning. Thanks for taking my questions. So, first, two questions, so first a kind of a broad question and then second on the fourth quarter expectations, but, so first, maybe if you could talk about, touch again on the inflationary pressures and how that – how do you think that would – that might affect your business and how you are handling it going forward? Then, I see that you place those orders and built your inventory ahead of the holiday sales season, but just sort of how you are thinking about it broadly in terms of how we should think about gross profit margins and then also, labor cost and anything of that nature. Thank you.
Douglas Lindsay: Sure. Vince, I’ll take and then pass it to Steve Olsen to talk about specific product and supply chain issues. But we are experiencing the same economic impact as everyone else. We are seeing price increases in our products, components, fuel, transportation, wages, our merchandizing group has done a phenomenal job of getting ahead of it, keeping pace with cost increases through price increases in our lease rates. And so, in the effort to preserve margin, we’ve done a great job with that. As we commented, we also – our fulfillment centers are full and our stores are full of inventory going into the holiday season. So we’ve overcome a lot of that disruption activity which I’ll let Steve talk about. As inflation rolls through the economy in the home sector, the number of customers we believe, like prepayment plans will increase, the cost of our retail products like washer dryer or sofa will go up and because of that that upfront cost, particularly for our customer is sometimes unachievable or undoable and so they look for a lease option instead and we can still having on a $1,000 product, an increase of $150 of retail, we can pass the $10 increase to that customer that they can manage within the budget over a 24 month period. So, we think based on our experience, credit tightening and inflation expands our market as our customers seek an offering other than a cash offering upfront. So, we think it’s a net-net positive as we move forward and we feel like we began to see some of that demand trends. So I am going to Steve just on what he is saying on the product side of things.
Steve Olsen: Thanks, Douglas. Good morning, Vincent. I’ll first start on supply chain side. So, we’ve been very proactive as Douglas referenced in his prepared. We transitioned early away from direct import as we saw those container and ocean freight cost going up and really transition to more domestic supplies with our existing suppliers and then went out and found new suppliers. So the merch team has done a great job on that. And we have Woodhaven, which gives us a great view into raw material cost from a purchase standpoint, but allows us to pivot quickly and move the products that when they – you may need to fill our core merchandize. Secondly, I will talk about on, call it the pricing side. The team has done a nice job. We are very proactive with our suppliers. We have ongoing daily, weekly conversations with them about what they are seeing and what are on trends around raw material cost and we are taking that information. And as we see price increases as Douglas said like everyone has, we quickly look at our lease rates, not only in the products that may have reduced the cost increases, but across the entire assortment and we balance those prices across the entire price ladder to ensure we are maintaining our margins. So, we continue to work through it, but I am pleased so far with how the merchandizing team, supply chain teams are handling these inflationary environments.
Douglas Lindsay: Yes, and lastly, Vincent, on the labor question you had. We are seeing hourly wage rates increase. It’s a very competitive market, but the wage rates that we’ve experienced thus far are consistent with the inflationary trends that we are seeing in the overall economy. So nothing in excess.
Vincent Caintic : Okay. Perfect. Okay, that’s very detailed, very helpful. Thank you. Just a quick follow-up. So, when you are thinking about the fourth quarter, so, normally a busy holiday sales season. Some competitors normal time they should be doing, I guess more sales, - other things, but still not being in a normal season than I know like of course last year we were in normal season. But anything that – how you are thinking about the competitive landscape or how basically retail has done for the fourth quarter? Thank you.
Steve Olsen: Hey, Vince, this is Steve again. Knowing our comments on all the retail, but I won’t say, as Douglas mentioned in his prepared remarks, and I mentioned few minutes ago, we are in a great inventory position. We are pleased with the demand across our categories, whether its furniture, appliances, or electronics. We’ve put together a great marketing plan to really drive our business in the fourth quarter, which really includes further investment in digital marketing. Those investments really as well – find new customers, engage with them and then drive them to our website to experience the great user experience on our website as well as drive them into our stores. So, we are ready for the fourth quarter and we tend to put the necessary plans in place to make that happen.
Vincent Caintic : Perfect. Very helpful. Thanks very much.
Operator: Thank you. We now have the next question from Anthony Chukumba from Loop Capital Markets. Anthony, please go ahead when you are ready.
Anthony Chukumba : Thank you so much for taking my question. Congrats on a strong quarter, as well. So, couple questions. First one, very nitpicky, but I know right now it’s a one point lease portfolio that’s 6.1% year-over-year ending the fourth quarter then – I have at 5.8%. I am trying to reconcile the two. Maybe I just heard – misheard what you said.
Kelly Wall: Yes. Hey, Anthony, it’s Kelly. I’ll clarify that for you. So, the 5.8%, that’s the total lease portfolio size, right, with the 6.1%, that is on the same-store set.
Anthony Chukumba : Got it. Okay. That’s helpful. And then, just in terms of – I was wondering if you were seeing any – in terms of lease origination, any sort of significant variation between your different major product categories, in other words like appliances is really strong, consumer electronics, furniture, I just – we just wonder is the strength kind of broad based? Are you seeing any particular outperformance or underperformance from a product category perspective?
Steve Olsen: Hey, Anthony, this is Steve, again. I’d be glad to answer that. So we did see strong growth across all three major categories, but to give you a little more specifics, in furniture, upholstery, had a really nice Q3. Appliances, laundry, laundry continues to be a strong category with great demand. It’s been that way throughout the last year. And then on the electronics side, there was some rebound in TVs and continued performance in gaming.
Anthony Chukumba : Got it. That’s helpful. And then if I can just sneak one last one in. I know in the past you’ve talked about some of the new product categories that you can test in your stores and rolling on to your stores. I just wonder if you can get a quick update on that. Thank you.
Steve Olsen: Sure, Anthony, it’s Steve again. We continue to expand our product assortment as Douglas mentioned in his prepared remarks. Our ecommerce business in this growing marketplace is over 3,000 items, but specifically about what new categories. Those new categories included exercise equipment, small appliances, power tools, home office, and electric bikes. But with that I will say, we are constantly testing new categories, new items and you’ll see us going forward continue to expand out our assortment and into new categories that even we are not in today. So, we are pleased with the results of these new categories. But we are really focused on the long-term in this growing marketplace position.
Anthony Chukumba : That’s helpful. Good luck with the holiday selling season and keep up the good work.
Steve Olsen: Thanks, Anthony.
Operator: We now have a question from Brad Thomas of KeyBanc Capital Markets. Sir, please go ahead when you are ready.
Brad Thomas: Hi, good morning everybody and congrats on a good quarter. I wanted to ask a few follow-up questions here. Maybe first just starting with the inventory. I apologize if I missed it. But just wondering if you can give us a little more color on maybe in percentage terms how much inventory will be up here as you head into the fourth quarter and into the holiday season? And how you are thinking about that sort of at a per store level? How you are thinking about it in a unit level given we have seen some inflation, just some more color on that investment and that would be great.
Kelly Wall: Yes, so, Brad, it’s Kelly. So, we are – as we mentioned, we are – we did buy hedge, right. So, we are running at higher than normal inventory levels both for FCs and in our stores. I’d say that, on a percentage basis, we are hardly running about 15% higher than our target levels and we really manage it across both our FCs and our stores, because as we talked about in the past, our stores serve as mini distribution hubs across the U.S. And so, right now, we are pretty full. And it’s – we anticipated as we mentioned there is some challenges in the fourth quarter. We’ve got some opportunities to buy inventory kind of ahead of our typical cycle. That combined with the inflationary comments we talk about before. It puts us in a higher and we expect that will normalize over time, but we are in a really good position with a real balance sheet perspective and a liquidity position. So, we’ve taken advantage of that here. We were able to supply off than what we are able to buy. We are going to error on the side of – a bit heavy going into the end of the fourth quarter and then as we see our customer payment activity and the work as we talked about normalize a little bit more, right, then we’ll look at optimizing those levels going forward.
Steve Olsen: Hey, Brad, this is Steve. Just to add a little more color. That strong inventory position is across our key categories. So, we feel good about where we stand in appliances, where we stand in electronics and where we stand in upholstery. Excuse me, furniture. So, we are ready for the fourth quarter and as we look into – again to the fourth quarter and into Q1, we’ll see how we – what our actual position look like as we get into the holiday season. But seems very proactive and as Kelly said, we are pleased looking into our position.
Brad Thomas: Great. And just a follow-up on all the rest - the connecting the dots. I think the guidance, your implied guidance for the fourth quarter we have revenues flat to slightly down year-over-year, down about 2% if I am not – and inventory is now up a lot. But you just mentioned it’s core categories. They shouldn’t have a lot of markdown risk. But just to connect these dots, was this more catch-up on inventory, just strategic investment because of how tough all these to get things for an investor that might ask are we concerned that we may need – may have risk of discounting in the future. How would you address those questions?
Kelly Wall: Yes, so, Brad, it’s Kelly again. It’s really the normalization of our customer payment activity. Right, so, as we go from – return back to kind of the 87% to 88% range plus – of the centralized decisioning that we are enjoying, it’s going to be a decline from what we’ve seen over the last four quarters. So, that’s really the driving impact, if you think about the impact from the top-line as we continue to kind of manage the cost of goods and the flow through there.
Douglas Lindsay: Yes, Brad, just to say another way is, we are not expecting a significant decline in the overall size of our portfolio. It’s the rate at which we are renewing that whole portfolio each month because where the pressure will be on the top-line.
Brad Thomas: Okay. That’s really, really helpful. Thanks, everybody. If I could ask one more question just around expenses, obviously, 2021 has been a year where you are growing against the year where expenses were really lean and Kelly, can you help us get a better sense of what OpEx should grow at as we look out to next year and in kind of a more normal environment?
Kelly Wall: Yes, so, the – from an OpEx perspective, right, the key driver there is going to be labor, right. We continue to run pretty tight, right and not choosing our optimal levels. I think a lot those in the retail environment are facing these types of challenges. So, as we look forward, right now, Brad, it’s difficult to estimate into next year specifically what that’s going to look like. It’s a combination of bringing our stores back and staffing levels combined with. We expect to continue to see some wage pressure, right. But that’s going to be a big driver next year as we think about guidance that we’ll provide here in the next call.
Douglas Lindsay: Yes, one additional comment on labor. Personnel increase we’ve experienced in this quarter versus prior year quarters, most of that is wage rates, not hours in our stores. Really proud of what we’ve been able to do over the last few years of making investments to streamline our store, labor cost, centralized decisioning has taken lots of burden off of our team members in our stores and a lot of the hours that we will extend sort of manually validating. We’ve also put in servicing platforms. We are now taking over 77% of our payments outside of the store and so that’s really saved on labor and then we’ve had other operational efficiencies through self-service and our ecom site that are allowing us to be efficient and more productive in the way we grow our business. So, while we expect to see more hours in our store, particularly next year as payments normalize, in case payments normalize, there is more effort put into that. We do not believe we will return to historic levels on stores adding.
Brad Thomas: Thanks. Very helpful. Thank you so much.
Operator: We have another question in the phone lines from Jason Haas of Bank of America. Hey, Jason, please go ahead. Awaiting your line.
Jason Haas : Great. Thanks. Good morning and thanks for taking my question. So, the first one I wanted to ask about is just on the cadence that you saw through the quarter both in terms of originations and write-offs. I am curious to know what you saw as it relates to the child tax credit continue to go out and then also as the unemployment – the actual unemployment trends we thought at the beginning of September?
Kelly Wall: Yes, hey, Jason. This is Kelly. So, I’d say, we did expect to see kind of a slowdown in the customer payment activity through the course of the quarter tied to – and as you mentioned, the end of the unemployment stimulus that was provided and that was offset to some degree by the child tax credit. But as you play through the quarter, as we look at our lease renewal rates, it appears that there was a benefit clearly at the beginning of the quarter. But that benefit continued to tail, all right, as we moved through Q3. As we somewhat expected, because again you got our customer as we are coming out of a very heavy stimulus hitting environment, right it wasn’t just the checks that they were receiving from the state and federal governments. I think also rent we had to pay and other forms of the assistance and receipts through that period of time. So, as they are light it’s returning back to normal from a financial perspective. They are seeing other challenges as well and we continue to see our customer payment activity normalize.
Jason Haas : Great. Thanks. And then, as a follow-up question, it sounds like you are in a pretty good position in terms of inventory offerings considered. So, I am curious if you are thinking about, maybe it sounds like you are taking up some share, maybe some other retailers are less than target, you feel like there is some opportunity there in the fourth quarter and maybe going beyond.
Douglas Lindsay: Yes, this is Douglas, Jason. We definitely think it’s something like anytime you can add products in your stores, particularly our customers who wants or needs that product that day, there is an advantage. So I am really happy with the fact that we’ve got a lot of product to offer, particularly during our peak season in the fourth quarter. What I am equally is optimistic about is the inventory levels we have in our procurement centers, which serve our ecom business. I think we are up, last year’s supply chain was really challenging this time. We are up over 80% in our fulfillment centers, in terms of inventory levels over last year and we are ready for the holidays with plenty on our ecom sites, retails and SKUs and full warehouses so that bodes well for the demand side of the business.
Jason Haas : Good to hear. Thank you.
Operator: [Operator Instructions] We now have the next question from Bobby Griffin from Raymond James. Bobby, awaiting your line. Please go ahead when you are ready.
Bobby Griffin: Thank you and good morning everybody. Hope everybody is doing well. Regarding – Kelly, I just kind of want to talk maybe high level, little bit more long term, but you guys called out a few different times that you are tracking well ahead of the long-term strategy that our plan you laid out the same, and when you think about, for instance, merchandize loss ratios normalizing into next year, are they normalizing better than you would have expected when you kind of spun out than we originally talked. And I guess what I am getting at is, if the long term EBITDA guidance for target out there now maybe more conservative as we sit here and look at the business today with some of the progress you’ve made.
Kelly Wall: Hey, Bobby. It’s Kelly. What I would say is that, from that write-off perspective, we continue to expect at the same levels of write-offs, just 4% to 5% that we talked about pretty consistently since kind of pretty – right. So there is no changes there. I’d say, we are really ahead as we grown the business pretty significantly. So, our lease portfolio size as we go into 2022 is well ahead of where we had anticipated on the longer term outlook provided before. We’ll also continue to see really good results out of GenNext. Right and so the performance in those stores and Douglas mentioned in few dozen occasions, we are exceeding our expectations. We are beating our performance and as that continues, that gives us even more confidence in that longer term strategy and plan that we laid out. So those were really the key drivers as we think about ahead of plan from our financial performance perspective. I’d say that from a margin standpoint, we are still kind of – I believe that longer term we are in this 11.5%, 12.5% range. So there is no change there. But it’s really going to accelerate inroads and the overall revenue that we are going to achieve in all the years.
Douglas Lindsay: And, Bobby, one last answer is, our centralized decisioning platform has been a huge asset for us and we continue to sort of optimize the outcomes in that area and so, while the 4.5% as Kelly is exactly right, 4.5% to 5% we think is the normalized rate of our charge-offs. We continue to be able to find opportunities to optimize our customer and react to market conditions which has been a huge, huge asset for us over the last 12 months.
Bobby Griffin: Okay. That’s helpful. And so, just to make sure I kind of understand, it’s the size of the portfolio is getting to your target level quicker than you originally anticipated or is the reason that margin not potentially little bit higher, is that the labor cost or somewhere else in the P&L has increased a little bit faster given our current environment. I mean, I am getting any of us sort of predict labor the way it was, is today 18 months ago or 12 months ago?
Kelly Wall: Yes, Bobby. Great question. So, I’d say it’s really more of the growth in the business. Not the increase on our labor – cost of labor. As Douglas mentioned, right, through centralized decisioning and other investments we’ve made from a technology perspective, we are seeing that we can operate the stores with less hours than we had done pre – what we have on the past year. So, while wage rates pressure continued to impact this going forward, and right now we are not seeing – expecting to have any material impact relative to what we were thinking kind of pretty spend. So, it’s the growth and it’s not changing the margins at this point.
Bobby Griffin: Okay. Very helpful. And then, I guess, lastly, just, I understand you guys were priced and then the advantage of your business with this low monthly payments don’t hit the consumer as much as you can spread it out. Has that started to show up in the comps yet or is that more going to be a 4Q, 1Q 2020 – 1Q 2022 type benefit to comps where more products are going to be getting repriced a little bit higher monthly payments?
Douglas Lindsay: Bobby, this is Douglas. So, we do see in our revenue line and what we are writing into the portfolio higher tickets this year versus last, we are probably up 3% to 4% in tickets year-over-year and so that translates. But remember, what we write into our portfolio is only a fraction of what’s in our portfolio. So the revenue we recognize is the overall portfolio’s ticket versus what we are experiencing now. So you will begin to see more and more of that sort of translating through the revenue and the same-store revenues as we move forward.
Bobby Griffin: Okay. Very helpful. I appreciate the detail and the beautiful investments, Doug. Best of luck here in the 4Q and on into 2022.
Douglas Lindsay: Alright. Thanks, Bobby.
Operator: Thank you. We have no further questions. So I hand it back to Douglas Lindsay to close.
Douglas Lindsay: Well, thank you for joining today. Our outstanding performance would not be possible without the hard work and dedication of our entire Aaron’s family. As we continue to navigate the ever-changing macro environment, our team members remain focused on continuous innovation which I hope you heard today in delivering exceptional value and service to our customers. I remain confident in the execution of our strategy and we are excited in our key fourth quarter season. So thank you all for joining us today. Have a great day.
Operator: Thank you. This does conclude today's call. Thank you all again for joining and you may now disconnect your lines.